Operator: [Interpreted] Ladies and gentlemen, good morning. Welcome to SUNY Optical Technology 2024. Interim Result Announcement. This is Bonnie, you host for this event. On behalf of the company, I would like to thank you for your long-term support to the company. First of all, let me introduce the management. Mr Ye Liaoning, Executive Director and Chairman, Vice President and Joint Company Secretary. Mr Ma Jianfeng, IR Director Ms Christina Liu and Madam Jasmin Wong, Senior IR Director and Joint Company Secretary. Now we are going to make the presentation and the powerpoint slide is made available on the company website. You can also scan the QR code by the side for downloading. And then we are going to give the floor to Ma Jianfeng.
Ma Jianfeng: [Interpreted] Ladies and gentle gentlemen, good morning. On behalf of the company, I would like to report to you the first half of the year our operating performance and outlook. So first of all is our financial overview. In the first half of this year benefited from smartphones recovery, especially our headset lens and headset modules had optimized its structure and therefore the revenue in the first half of the year is RMB 18.8 billion increased by 32.1%. The gross margin RMB 3.4 billion increased by 52%. Profit before tax RMB 1.2 billion increased by 111%. Profits attributable to the owners of the company RMB 1.79 billion increased by 147%. Earnings per share reached RMB 99 billion increased by 147%. Now this slide shows you the expenses. The total operating expenses accounted for less percentage points versus revenue by 1.3%, reaching 12% for the first half. By categories, sales, selling and distribution account for -- went down by 0.5% R&D expenditure increased by 7.8% and administrative expenses remained just relatively stable at 3%. So we want to keep that expenses down to 12% of the total revenue. Now we have a very solid financial position. The key indicators current ratio stabilizes at what operating cash inflow RMB 2.06 billion net cash per share RMB 1.29 thousand and gearing ratio 12.1%. ROE increased to 4.7%. CapEx in the first half of the year is RMB 1.04 billion. Revenue breakdown by product applications. The biggest chunk comes from handset related product accounting to 69% slightly increased and handset related product down by 0.3%, because it went up slowly than other categories. XR related the product increase by 2% to 5.3%. And these slides shows you more clearly how we are doing in Handset, Vehicle and XR related products. Handset related products RMB 13.02 billion increased by 34%. Second part vehicle related products, which is Lenses and Modules reached RMB 2.877 billion. Net revenue in the first half of the year increased by 16% and XR we had nearly RMB 1 billion revenue in the first half of the year with an increase of over 115%. So for the three key product lines you can see that we have achieved a very significant growth. Gross margin consolidated gross profit margin reached 17.2%. The main reason is driven by the Lenses and Modules in Handset and by Business segments, Optical components 31.8% increased by 5.8% and out of that vehicle lenses had a very stable gross margin at about 40%. And second is the Headset lens. Both increase year-over-year and quarter-over-quarter. In the first half of the year we have about 20% gross margin for that and we expect that to continue to rise in the second half of the year at about 20% to 25%. Optoelectronic products 8.2% increased by 1.3%. Gross margin mainly coming from headset camera modules. The modules gross margin stood at six to 8%. In the second half of the year we will continue to optimize the product mix and we will continue to see the gross margin improve. And last is instruments, Optical instruments. We stood at 47.9% for the first half of this year. We have a lot of optical instruction -- instruments are supplied internally and therefore we can gradually recognize the revenue. Operation overview, first part is about vehicle. On the left hand side you see the vehicle cameras. We listed out four items. First is Automatic Heating function with the vehicle lens which has achieved a designated project from Automobile OEM, this is actually a higher requirement. Auto heating can help us to achieve rapid de-icing and de-fogging. We had completed the R&D and had also obtained a designated project from a very famous OEM. And third -- second is 3MP side-view glass-plastic hybrid ADAS vehicle lens sets. 3MP ADAS lenses in the past you can see that we continue to reduce the glass lenses with glass-plastic hybrid lenses which continue to decrease the number of glasses required and significantly reduced the cost. And we also continue to optimize the incabent wide range DEPTH SENSING solution. It actually helps you to sense the positioning and your gestures of the drivers. We had cooperated with key partners with the marketing and then we have 8 million gigawatts modules. As I said before, we obtained a designated platform core project from a leading European automobile OEM, which is a good recognition of our 8-megapixel vehicle module. And it is safe to say that we maintained our leading position in the market share and in terms of the shipment volume in Cob Vehicle modules. So as of now, even though the vehicle module volume is relatively small. However, if you refer to the new automakers in and outside of China, we are progressing very well. As of now we had received a designated project worth of over RMB 10 billion. So this is a very solid support to our future development for vehicle cameras and modules. And on the right hand side you see the emerging products in vehicle optics. First is the we completed the R&D of long distance later modules and second is completed the R&D of all solid state gap filler LiDAR platform products, meaning that it gives you an ultra wide field of view with smaller size. Third is the HUD player. We have a self-developed PGU and in the second half of the year we will have mass production and we also completed R&D of multichannel projection unit products. Next, about XR and robotic vision sectors. In XR, the biggest achievement for this year is the mass production of Monochrome and Color Micro-Led Optical Engines. I think we are the first manufacturing industry that achieved this mass production and smallest sizes. We had an increase of 115% of revenue. We had, you know, 15% increased projection of increase in revenue in March. But actually for the whole year we think that we'll be able to achieve a 25% increase in terms of the business. Now, in terms of robotic vision, we have Robotic Navigation, Obstacle Avoidance and AI recognition modules and subsystems. Second part is we had delivered the batch shipments for Self-Developed Biometric Recognition Algorithm Subsystems. We have smart lock and had received support from leading dual lock producers in China. Handset related business well, handset lenses, you could see that we have delivered mass production for several one inch glass-plastic hybrid handset lens set for main cameras. So in the industry we are the one and only supplier for this. Second is we have several periscope handset lens sets with large image size which are mainly used in top-tier mobile makers in China with very great views. And we also completed the R&D of several multi-group Periscope Handset Lens sets which would help us to integrate the functions of a close up and distance shooting. The size can be smaller even with close up and distance shooting. And on the right hand side, the handset camera modules, now the first is the dual group internal focusing periscope handset. It's now entering into mass production and second is the long stroke guide rod actuators for one-inch main camera. Now we ensured that the image resolution for both telephoto and macro photographic system is stronger and solid. So that we can contribute to ultra thin design of the camera. We have 200 megapixel periscope handset camera modules and also have the R&D of 0.5 inch actuators for main camera. So you can see that these will penetrate it gradually down to mid-end modules so that we identify these 1.2 inch actuators as the future mainstream direction. So I actually went through four out of these five trends and four of them are actually related to actuators. So we said that this integrated module, we we are using like actuators is internally produced. So you could see beds internally provided or either we supply it to the outside. The actuators will have over 10 million shipments this year. Lastly is about Optical Instrument Business Unit. This first part is about intelligent equipment. We have completed the R&D of the fifth generation production line for post processing inspection of handset landsat and 50% of efficiency improvement can be achieved. And in terms of microscopes, we have completed the R&D of the first wide bandwidth, flat filled, large numerical aperture 40x water immersion objective lenses. This high-end microscope is mainly applied in the bioliva sciences field such as the live cell inspections and analysis. Next I would like to talk about pattern layout in different fields. We have achieved more than 2,853 Invention Patents and 280 -- 2,853 Utility And Model Patents and most of them are handset, Landsat, XR and a Robotic Vision related. Next is about the shipment for the first half of the year. The first part is about the vehicle landset and the shipment is around RMB 53 million up by 13.1%. We expect that we can achieve 10% to 15% growth for the annual shipment. So the speed is similar to the first half of the year and the gross profit margin will maintain stable. And next part is about handset Landset. The shipment volume is around shipment volume RMB 634 million up by 23.7%. On the right hand side you can see the shipment of the 6P and above handset landset we have ship RMB 162 million up by 23.2%. So for the 6P and above handset lens set growth is similar to the handset lens set. In general, however, the product structure for 6P and above are quite different. For the 6P and above we have achieved a 20% growth which has driven up the growth of the handset lens set by 10 to 15 percentage points. At the same time the 7P is growing faster than the handset landset. In general, the handset landset growth would be around 5% to 10%. Our market share is still number one in the world and our market share is still on the increased side. For the second half of the year our priority would be about the product mix enhancement. We believe that the ASP will continue to improve compared to the first half of the year, gross profit margins would improve to 20% to 25%. As the main driver is the product mix improvement. The ASP will grow along with the product mix improvement. Next, about the handset camera modules, the shipment is RMB 289 million up by 13.5% and we are number one in the world. On the right hand side you can see the comparison with before which is about the total shipment of the periscope modules and large image size modules. And this is the modules with the 1 inch to 1.5 inch and above image size. The growth is quite fast. So for the first half of the year we have seen 66% of growth reaching RMB 15 million and the revenue grew by more than 20%. So for the handset camera modules was held by other high-end modules and compared to same period of last year it grew by 10%. The shipment for the whole year would be similar to that of last year. We want to focus more on the product mix improvement. So for the ASP of handset camera modules would also be enhanced drastically. Next is about our production bases, and I would like to focus on Vietnam. In Vietnam, we have three production bases, and Vinh Phuc, Thai Nguyen, and Nghe An. And the lowest one is the Nghe An, which is also our largest in Vietnam. Next, I would like to talk about the strategy and outlook of the company. First, I would like to talk about the automobile industry. The automobile industry is undergoing a digitalization transformation and electrification. ADAS level is upgrading to Level 4 and Level 5, and this is our biggest driver. ADAS is being more and more advanced, and it will create more demand of automobile lenses in terms of numbers and also in terms of quality. And we will also see LiDAR, HUD, smart headlamps, and ground projection lamp demands. For LiDAR, we have obtained more and more designated projects. For the first seven months, we have obtained the number of LiDAR projects more than that of last year, for the whole year. Next, I would like to talk about the specs related to our company, in terms of the vehicle lens, we will see higher pixels of cameras, which is more than 8 megapixel, going to be 10 megapixel. And the next one is about hybrid lens. Cost is a very important factor. In the future, we will see more glass and plastic hybrid lens for ADAS. Among the suppliers, we are the only one that can mass-produce ADAS hybrid lenses. And the next one is about COB packaging technology. The fourth one is the standardized transport protocol. And lastly, it is very important, which is about self-cleaning, de-icing, and anti-fogging features. For cockpit, smart cockpit is growing at the fastest speed. It is becoming more and more popular. There are several features. First one, also High Pixel. Second one, Product Miniaturization. And the third one is Wide-Angle Lens. And the fourth and fifth is the Depth-Sensing Technology and Image Pre-Processing Technology. In terms of LiDAR, the demand is more and more stringent. It must have a longer detection range, higher resolution, and large FOV. And LiDAR is one of the most expensive components. Therefore, lower cost is required. Lower power consumption and smaller size are also required for better outlook. And in terms of the projection technology, high-end DLP and the low-cost TFT are all welcome in the market. And we have in-house technologies for these two parts. For smart headlamps, in the future, we will see the 0.01 megapixels and megapixels progressive development. This is for the automobile industry. Next, I would like to talk about XR. There is a trend for XR with AI large model adoption. XR is expected to grow very fast and expected to be the next new personal terminal and productivity tool. For Sunny Optical, in XR, we have an extensive preparation of products. First, we have the end devices in mass production. We also have the pancake engine. And on the right, you can see the camera adoptions in personal engagement, which includes the tracking of eyes and facial, gesture recognition, VST camera, 3D camera, et cetera. In terms of smartphones, the focus would be very simple. The first one is periscope lenses, which is of smaller size. And also the specs would be more advanced for medium to low-end products. And the other one would be the large image size, which will be more popular. And the other one would be the variable aperture. These are the features that our clients care the most. The last slide is about the impact of AI on our business. It is widely used in handset, tablet, vehicle, XR, smart home, and even robotics. For us, the major application related to our products is information access and also information interaction. And we have a BU that specializes this business. And the AI adoptions will also bring up the upgrade of the specifications, and it will be the main driver for our growth in the future. And lastly, I would like to talk about ESG performance. We attach great importance to ESG. For MSCI rating, we have upgraded our rating to AA. We have been included in more ESG-related indices. I would like to point out that we continue to improve our ESG performance, especially the one related to environment. We focus on three parts. The first is energy efficiency improvement. And the second one is resources uses in efficiency. And the third one is energy transformation. We have set up two targets for Sunny Optical. The first one is the utilization of green energy needs to be increased by 10%. We have increased around 7% for the first half of the year. And the second target is about carbon emission. And we plan to reduce that by 10%, and we have already reduced 9% in the first half of the year. And we are confident to achieve these two targets for the whole year, and we will continue our effort to achieve better ESG performance. That's all for the presentation part. Thank you.
Operator: [Interpreted] Thank you for the presentation. Now we'll start the Q&A session. [Operator Instructions]
Unidentified Analyst: [Interpreted] Thank you. Management. I'm Tina from Citi. Based on such shipment guidance and the market change for the second half of the year, we will see some adjustments. Some of your competitors expect that the shipment for handset-related business will be similar to the first half of the year. And you said you want to focus on product mix improvement and medium to high-end products. What would be your priority? Is it market share? And what is the trend for the shipment for your three businesses in the coming one to two years? And the second question is that some of the new or major clients would face some constraints related to semiconductors or chipsets, and some of the shipment might be delayed. For the second half of the year, for the gross profit margin improvement and the shipment, have you considered this factor? And what would be our driving force for continuous improvement? And I can see that the R&D efforts is being continued for high-end products. So would the clients' constraints have any impact on your outlook?
Ma Jianfeng: [Interpreted] So first of all, the question is about market share. Well, for handsets, we have number one market share in the world for both the modules and handsets. We will continue to optimize our product mix so that we can generate better profitability out of handsets that is to continue to have higher-end product. When it comes to vehicle, well, the life cycle of the vehicle is pretty much long and will have a continuous increasing trajectory. So it's still quite early. So for vehicle-related products, we'll continue to increase our market share while maintaining a good gross margin. So we keep optimizing the product mix, for instance, hybrid ADAS and et cetera. This is to help us to improve the profit margins. And we would also like to continue to drive up our market share. Thank you very much for this question. Second question?
Ye Liaoning: [Interpreted] Well, I think our big clients support to us and how is it going to look like in the future? Well, these big clients of ours, we have set a timetable, literally before we became their supplier. And afterwards, we actually had a deeper and deeper cooperation and wider cooperation with them. We got more and more intertwined in business with them. So I think it is safe to say that we have higher opportunity and higher shares in their business when it comes to higher-end modules and products. And we delivered very well to them. And I believe that in the future, we will continue to get better and bigger with our big client.
Unidentified Analyst: [Interpreted] So this question comes from Citi. We saw that you improved your gross margin, especially for handsets. You had a very strong first quarter. However, in second and third quarter, it seems to be weakening. So my question for you is the outlook for the third and fourth quarter of this year. And the handset lens and handset camera modules, what will be your outlook on the gross margin performance? Second question, as my colleague said that modules will remain a flattish shipment with a slower growth rate. Well, I think this is a result of the optimized product mix module, the production line utilization rate, how much of a utilization you are expecting from the second half of the year? Third question was more like a comment. Mr. Sun is not here today. So what is the reason?
Ma Jianfeng: [Interpreted] Thank you. Mr. Sun is not here because he has other engagements. We had a very important item, a business in the headquarter. So I apologize for that. So your first question, third quarter is not the peak season for mobile phones. So probably it would be relatively quiet. We had shared our guidance for shipments for the second half of the year. We actually factored in all of the issues that we can foresee for the rest of the year. So basically, we had weak recovery for the whole year. So the whole year increase will be 3% to 5% in terms of shipments. For higher end, we would love to say that we have better demand than previous year. But as I explained before, that they are higher-end module products, which we will have more shares. So this will help to give us better ASP and better margin. So your second question, utilization rate. Well, for vehicle module, we didn't expand our capacity for a long time. The CapEx is pretty small. So in second half of the year, we probably will have more capacity utilization in the second half of the year, so pretty much it's quite flattish if you compare the first and second half. Utilization rate is now 70% to 80%.
Cherry Ma: [Interpreted] So Cherry Ma from Macquarie. So the guidance of the CapEx RMB three billion and vehicle CCM 25% increase as revenue. I would like to confirm that number with you. Second question is the designing project on handsets. You have 6 to 10 months visibility. So for the second half or like even earlier next year, are you foreseeing high-end flagship and lower-end, mid-end mobile phone upgrading? Or will next year still continue to focus on the flagship? And for the ABC clients, Broadway systems, the Taiwanese manufacturer signed an LTA with your ABC clients. So I was wondering whether or not these will have an impact on your business with them?
Ma Jianfeng: [Interpreted] Now, CapEx for the whole year remain RMB 3 billion. And for the breakdowns, pretty much remain the same. Second, vehicle increase, 25% revenue increase. Second question, for 2025, mobile phones industry's demand for our products. Well, generally speaking, we believe periscope, large image size and adjustable aperture. So it's pretty much the same thing. It's just the different specs requirements. For instance, in the modules, we now have dual group that's used in the periscope. Probably in the future, we will have multi-group, no matter for camera or modules. It will be getting harder and harder to make. And next year, I believe that as the mobile makers -- mobile phone makers want to strive for excellence, so small size will become a trend, more demanding, smaller sizes and thinner, no matter for the main camera or for periscope. Actuators capacity is 10 million, which is a good thing for us. In the future, we will continue to work on our own actuators so that we can keep the size small. So for Taiwanese manufacturer, well, I think it's been touched already. The key client situation, I think we've covered that. We totally understand your concern. The handset camera, in March, we said 5%, and now it's 5% to 10%. The incremental part that we managed to do -- for the whole market, it's only increased by 2% to 3%, whereas we outgrown the market average for two reasons. First is the North American order increased. So what you want to see is results, right? So just as what Mr. Ye said, that how we achieved this result because we have been recognized by our client in terms of our capacity and technology. And second is the Samsung higher-end camera is also presenting us with great opportunities. So that is why we updated our guidance that way.
Unidentified Analyst: [Interpreted] [ph]Weh International. So the first question is also about handset modules. Gross margin, 6% to 10% for the second half of the year. So 6% as a lower cap doesn't change. Well, it's okay. 10% looks good. Now, can you give us a little bit more as to whether or not this number will be even higher next year?
Ma Jianfeng: [Interpreted] Well, I think, investors and analysts, you're so smart, and with the guidance, I think you get everything you want. If our number is not accurate enough, maybe you can also consider that in the second half of the year, the gross margin for handset module in the second half of the year will be even higher than the first half. Well, that's enough information. And about 2025, people have been asking about the mix. We hope to optimize the mix continuously. Handset camera and lenses, I hope that these two can both increase. And market share remain relatively stable and with optimized mix so that we can have better quality of our business and better margin performance.
Unidentified Analyst: [Interpreted] For vehicle lenses, you now have RMB 10 billion worth of order. How about the delivery pace or any sort of schedule that you're expecting? Now, this year, you hope to increase by 25% for vehicle-related products?
Ye Liaoning: [Interpreted] Well, yes, the lifecycle for vehicle is longer, so visibility is longer. In the coming couple of 1 or two years, the vehicle module model and how much of a shipment is required, we have a better visibility for vehicle. So we have RMB 10 billion expected orders at hand. So I think we could keep our expectation at RMB 10 billion. And beyond that, probably we'll have some other more opportunities because the vehicle so far is pretty much at an early stage. The module for vehicle is more complicated versus handset. And we are exploring new market opportunities with vehicle. So for orders from vehicle, I think they will increase much faster. So it is safe to say that vehicle will be one of our future drivers for business growth.
Unidentified Analyst: [Interpreted] Huatai Securities. I have two questions. So AI is driving power for handsets. BOM costs seems to be increasing quite significantly. So how your optical products can ride along the AI advances? This is the first question. The second is AI goggles. Meta and Ray-Ban goggles seems to be very popular worldwide. And it seems that there is no display feedback function. So I was wondering the XR, [ AXR ] market, how much the market size will be?
Ye Liaoning: [Interpreted] So I will respond first and Mr. Ma can share more information later. So for XR, we have a high expectation, especially for VR. For the VR clients, in the past few years, have already developed a lot of new products. In terms of the market development, the scale was not satisfactory. For XR, I believe that this is a promising market. But at this moment, I would say that the consumers are not so acceptive of these products. For the AR, it is not possible for everyone to wear a pair of goggles and walk on the street. However, we will see some adoptions of such goggles in some niche markets. And in terms of individual consumers, we would need more iterations. And I think it is not possible for individual consumers to have one pair of goggles just like everyone has one cell phone. And the smart wearables is quite promising. I believe that each person will have at least one wearable. For the smart wearable, it can bring a lot of convenience to the users, especially for the audio interaction. It can replace headphones to read the information on your smartphone. I would say that this is a part of AR. AR will continue to progress. The pace might vary. We need market verification and validation. And I believe that the demand is there. When AR is becoming much bigger, it will be a big business opportunity for us. When Mr. Ma was talking about this part in his presentation, we have already mentioned some forecasts, which includes the end devices and also the lens for goggles. And these are very important for AR. And they account for the majority part of the BOM cost. But it takes time for the market to develop. However, we have already been preparing ourselves in this aspect. One additional information. For the North American client, it is a sensitive client, and it is not possible for us to respond to any questions related to next generation goggles. So, if you have any information, please feel free to share with us. But I would like to say that we have high interest in AR goggles, and we are happy to see that their goggles are selling very well. And your first question about AI's impact on smartphones. In the year beginning, Samsung launched the AI smartphone, and Google Pixel 9 has also adopted some AI model. And smartphones will continue to see more AI features. If you look at our product mix improvement for Google, Samsung and some domestic brands are adopting more AI features, but it does not have any impact on our adoption of more handset lens sets and modules. Any phones in the future will not accept any worse cameras. And secondly, we will see more explorations. We have a lot of discussions with the clients about the cameras trained with AI adopted on smartphones. Of course, the cost will be higher. And this is another opportunity for us. The performance must be better. Can we lower the cost? For example, for the integrated actuator, would give us more performance. But compared to standalone actuator, we would enjoy some cost because some of the parts that can be shared or some of the parts are not necessary anymore. So, I believe we will enjoy more business opportunities with AI adoption.
Unidentified Analyst: [Interpreted] I'm Fu Rui from Erison. Two questions are related to smartphone. The first one is about handset lens sets and the order's visibility. Can you please share with us more information? And secondly, the pricing. Do you discuss the pricing with the clients every quarter or in a shorter or longer time frame?
Ma Jianfeng: [Interpreted] I think I get most of the questions. First, about handset lens sets and modules. First, our clients will give us some long-term forecast. The order's placed would be around two months beforehand. But of course, there would be some changes in the middle and it require us to have some flexibility. And for different product lines, it also varies. Especially for high-end products, the order is usually placed 1 year beforehand. And for major overseas brands, the order is placed at an even longer period. But our clients cannot forecast exactly the volume that they need, for example, for the next year. But roughly, I think they can give us the number. I hope I have responded to your question.
Unidentified Analyst: [Interpreted] For the unit price, if you have already set the unit price, is it possible for you to change the unit price every quarter or every two or three months?
Ma Jianfeng: [Interpreted] Well, the life cycle for different products is not so long. So the unit price would follow the orders and we would not refresh the pricing every month. Usually, it would not happen.
Unidentified Analyst: [Interpreted] So does it mean that you have already set the unit price for the second half of the year?
Ma Jianfeng: [Interpreted] I would say that the volume and ASP guidance, we are quite confident.
Unidentified Analyst: [Interpreted] And another question from the other investor is about the ASP forecast for the second half of the year is quite wide, the upper range and the lower range. What would be the reason behind such kind of forecast?
Ma Jianfeng: [Interpreted] I think that we are more confident about the upper range. The gross profit margin will improve compared to the first half of the year. And to what level, it depends on two factors. First, high-end products, so what would be the volume from the clients? Just like in my presentation, for the 1.5-inch lens is only 15,000, but the profit is quite satisfactory. So the overall volume, I believe that would go up. If there is volume, it would also depend on whether we can manufacture it, which is about the yield rate. The handset lens sets yield rate has improved a lot compared to that of last year. So I believe with these two factors, if we can receive the orders from the clients in the second half of the year, it will be reflected in our financial statements.
Unidentified Analyst: [Interpreted] Andy from Morgan Stanley. I have two questions. The first question is the investment logic. You want to invest more in vehicle than handset, but the growth for handset-related business is much higher than vehicle. This is reasonable because of the market trend. In terms of the outlook or forecast, in the second half of the year, the handset-related business will go down, and the vehicle business would still be quite ideal. So for the coming 6 to 12 months or even longer period, when can we see that the vehicle business can lead the growth of the group, and handset business can come back to normal? And I believe that this trend will start for the second half of the year. But as Mr. Ma said, that the gross profit margin would be quite satisfactory. And in terms of profitability, in the next year, do you think that vehicle business will lead the group?
Ye Liaoning: [Interpreted] From the financial figures in the past few years, our vehicle income has been quite stable. We have maintained around a 20% or even higher growth rate. But we have seen a lot of volatilities for the handset business, so we were under the impact. And as you know, that for the first half of the year, the handset market has seen a recovery, and that's why we have such results. In the coming years, it is possible that the vehicle business growth would be faster than handset business. I have several considerations. First is that we have a small base for vehicle business. For handset, our revenue is more than RMB 10 billion. But for vehicle, we only have RMB two billion. And in China, we have a high penetration rate for new energy vehicles. And in overseas markets, Japan, Korea, or North America, or Europe, we have obtained several designated projects. And for some, we have already passed the verification of some OEM factories, which laid good foundation for us obtaining their order. So, for the future, we will set a higher and higher target for vehicle business, and that's why we believe that our vehicle lens sets would see high growth in the coming years. And secondly, for the vehicle lens sets, the ASP compared to the ASP of handset lens sets is around 1 to 10 times. So the -- but in the first half of the year, we can see that this gap is becoming narrower and narrower. If you include HUD and other modules, the gap is even smaller. And in the future, the profitability growth would be coming from vehicle lens sets, and this is within expectation. But if the market changes, then the profitability might be diluted. We are an optical parts expert. We want to focus on the three aspects, and also the VR business, so that our business portfolio can be more diversified. We would not pursue the highest growth for a certain business unit. For the hybrid lens, we have already achieved breakthrough. Revenue margin and profitability are important. So, our ASP, will it go down because of the hybrid lenses, and the shipment growth of 15%, price goes down by 5%, would the revenue growth slow-down, despite the fact that we have maintained a good gross profit margin? You cannot calculate it like that. Without hybrid lens, it is not possible for us to become competitive in the market. If we are not competitive, it is not possible for us to win clients' orders. So, this is a very difficult math. You need to invest in R&D with better products and better qualities to satisfy the needs of the clients. And it is not possible for you to decide which product will give you more edge, or which one will give you more sales or more profitability. This is not something that you can choose. What you said just now, well, that is something that can be expected for vehicle, is that incremental market is growing, whereas handsets is an existing market already? So vehicle holds enormous potential, not only for volume increase but also quality increase, whereas for handsets, high-quality, yes, still has some room for development. However, compared with vehicle, the ceiling for handset market is lower. So we have -- we attach higher hopes for vehicle. Even though currently, the vehicle is smaller than handset, but the value -- potential value it can carry is better. Well, actually, this is a mathematical question. So hybrid lens is for front view and higher-end ADAS from full glass to glass-plastic hybrid lens. However, not all lenses are ADAS. So they are mid to lower-end lenses as well, maybe just one piece of glass. So ASP is a range. What we are looking at is average ASP having more market share facing the competition. So higher-end ADAS was even though like it has a glass and lenses, the ASP is good, it doesn't hurt us, actually, it drives up the average selling price.
Operator: [Interpreted] Well, thank you very much for the answers and questions. This is the end of this presentation. Thank you so much.